Operator: Welcome to the Dominion Energy First Quarter 2025 Earnings Conference Call. At this time, each of your lines are in a listen-only mode. At the conclusion of today's presentation, we will open the floor for questions. [Operator Instructions]. I would now like to turn the call over to David McFarland, Vice President, Investor Relations and Treasurer.
David McFarland: Good morning, and thank you for joining Dominion Energy's first quarter 2025 earnings call. Earnings materials, including today's prepared remarks, contain forward-looking statements and estimates that are subject to various risks and uncertainties. Please refer to our SEC filings, including our most recent annual report on Form 10-K and our quarterly reports on Form 10-Q for a discussion of factors that may cause results to differ from management's estimates and expectations. This morning, we will discuss some measures of our company's performance that differ from those recognized by GAAP. Reconciliation of our non-GAAP measures to the most directly comparable GAAP financial measures, which we can calculate are contained in the earnings release kit. I encourage you to visit our Investor Relations website to review webcast slides as well as the earnings release kit. Joining today's call are Bob Blue, Chair, President and Chief Executive Officer; Steven Ridge, Executive Vice President and Chief Financial Officer; and Diane Leopold, Executive Vice President and Chief Operating Officer. I will now turn the call over to Steven.
Steven Ridge: Thank you, David, and good morning, everyone. Since the conclusion of the business review, we've communicated 3 priorities: one, consistently achieving our financial commitments; two, continued on-time achievement of major construction milestones for the Coastal Virginia Offshore Wind project; and three, achieving constructive regulatory outcomes that demonstrate our ability to work cooperatively with regulators and stakeholders to deliver results that benefit both customers and shareholders. By fulfilling these goals, we empower our employees to deliver on our critical mission to provide the reliable, affordable and increasingly clean energy that powers our customers every day. On today's call, we'll address each of these areas, starting with achieving our financial commitments. As shown on Slide 3, we're off to a strong start to the year with first quarter operating earnings of $0.93 per share, which includes $0.03 of better-than-normal weather, $0.02 of RNG 45Z income, $0.02 of better-than-expected sales, strong rider investment growth and a combination of O&M and tax timing helps that we expect to normalize through the rest of the year. First quarter GAAP results were $0.75 per share. We are affirming all financial guidance provided on our fourth quarter earnings call, including 2025 operating earnings per share of $3.28 to $3.52 per share, inclusive of RNG 45Z income with a midpoint of $3.40. As a reminder, a summary of all adjustments between operating and GAAP results is included in Schedule 2 of the Earnings Release Kit. Additionally, a summary of all drivers for earnings relative to the prior year period is included in Schedule 4 of the Earnings Release Kit. Turning to our financing plan as shown on Slide 4. We've sold approximately $1 billion of forward-settled common equity under our existing ATM program at a weighted average price of approximately $57 and expect to complete $200 million of DRIP-related equity issuance by year-end. This is consistent with our 2025 common equity guidance. We view this level of steady equity issuance under existing programs in the context of our sizable growth capital spending program as appropriate to keep our consolidated credit metrics within the guidelines for our strong credit ratings category. We remain focused on balance sheet conservatism and there is no change to our previously communicated credit-related targets. Turning briefly to data centers. As a reminder from our fourth quarter update, we have approximately 40 gigawatts of data center capacity in various stages of contracting, including what is now approximately 10 gigawatts of capacity contracted under electric service agreements. Since our last call, we have not observed any evidence of slowing demand from data center customers across our service area. In conclusion, I'll reiterate that I'm highly confident in our ability to deliver on our financial plan. The financial guidance has been built to be appropriately but also not unreasonably conservative to weather unforeseen challenges that may come our way. With that, I'll turn the call over to Bob.
Bob Blue: Thank you, Stephen. Turning to safety performance. Our Dominion Energy family experienced tragedy on March 31, when Ryan Barwick, a material fuel handler at Wateree Station in Eastover South Carolina, died after being severely injured while unloading a railcar. We are deeply saddened by the loss of our dedicated colleague, and our thoughts and prayers continue to be with his family, friends, coworkers and community. Safety is our first core value. It's at the heart of our corporate culture and we will continue to improve until we achieve the only acceptable safety statistic zero injuries. Next on our Coastal Virginia Offshore Wind project. I'd like to start with a few project highlights on slide 5. The project is 55% complete, months away from first delivery of electricity to customers in early 2026 and on schedule for full completion at the end of next year. It represents the fastest and most economical way to deliver almost 3 gigawatts of electricity to Virginia's Grid to support America's AI and cyber preeminence in the largest data center market in the world, to support US shipbuilding at customers like Huntington Ingalls, the largest military shipbuilding company in the United States and one of our largest customers and support some of the country's largest and most important military and defense installations. It has robust bipartisan support from Virginia government and congressional leaders, local communities, military and defense interests, the commercial marine industry as well as civic, educational, environmental, labor and community partners. It's created approximately 2,000 direct and indirect American jobs and generated $2 billion in American economic activity. And finally, it's supported by Virginia law and approved by the State Corporation Commission and federal agencies. In summary, this project is consistent with the goal of securing American energy dominance and as part of our comprehensive all-of-the-above energy strategy to affordably meet growing energy needs. Since our last update work has continued to pace. As shown on slide 6, 100% of the project's 176 transition pieces have been rolled, 86% have been successfully steel welded and 50% are now complete, including the 59 that we have successfully installed since we began that work on December 31. We expect the final transition piece to be completed in October. More than 80% of the project's 176 monopiles have been completed and successfully delivered to Virginia, including the 78 that were installed during the last installation season. We expect deliveries of the final 32 monopiles to continue steadily in the coming weeks. The first offshore substation was installed on March 10 with the remaining two offshore substations on track to be delivered this summer and installed in the fall. Siemens Gamesa is making excellent and on-time progress in the fabrication of the project's 176 wind turbines. The sections for 28 full towers have been completed with 45 additional towers currently in production. In addition, 36 nacelles are complete or awaiting final testing and 28 blades have been fully cast. Finally, as shown on slide 10, Charybdis, our Made in America Jones Act-compliant installation vessel, is expected to enter service and begin making its way to Virginia in the next four to eight weeks on schedule to support turbine installation this summer as planned. Before I turn to tariff exposure, I'd like to highlight that the cost for project components, excluding tariff impacts, have remained in line with the prior update. The project's current unused contingency is unchanged from our last updated, $222 million, which now represents about 6% of remaining project costs. Now let me address tariff exposure. It's difficult to fully assess the impact tariffs may have to the project's final cost as actual costs incurred are dependent upon the tariff requirements and rates, if any, at the time of delivery of the specific component. As a result of this ongoing uncertainty, we've provided potential tariff exposure across discrete tariff categories and illustrative durations on slide 11. First, through the end of the first quarter, the project had incurred actual tariff costs of $4 million. Second, if current tariff policy were to continue through the end of the second quarter, that number would increase to about $120 million. Finally, if current tariff policy were to continue through the end of 2026 when the project is expected to fully enter service, cumulative tariff impact would be expected to be approximately $500 million. For the avoidance of doubt, the corresponding amount borne by Dominion Energy would be about $130 million. Of course, changes to future tariff policy could affect these estimates. We made our quarterly offshore wind construction update filing with the Virginia State Corporation Commission today, in which we increased total project cost by about $120 million, which aligns with our estimate of actual incurred plus projected tariff costs through the end of the second quarter as you see in the table in today's materials. As a result, we recorded a modest charge this quarter for costs not expected to be recovered from customers in accordance with the cost-sharing settlement with Virginia regulators and our 50% cost-sharing partnership agreement with Stonepeak. The cost sharing and risk sharing continues to work as intended to protect customers and shareholders. As a result of the cost sharing settlement approved by Virginia regulators, the updated project cost of $10.8 billion is expected to increase residential customer bills by an average of $0.04 a month over the life of the project. And the updated project LCOE of $62 per megawatt hour inclusive of REC continues to benchmark very favorably with new generation alternatives including solar, battery and gas-fired generation. Let me be clear, CVOW remains one of the most affordable sources of energy for our customers. Turning to the regulatory landscape. Let me provide a brief update on our Virginia biennial review filing, which we submitted at the end of March. The filing highlights Dominion Energy Virginia's reliable and affordable service. If approved, this would be the company's first base rate increase since 1992. Additionally, over the past decade, the company's residential rates have increased at a rate approximately 40% lower than the rate of inflation. Our filing also reflects a new proposed rate class for high energy users, including data centers, as well as new customer protections to ensure those customers continue to pay their full cost of service and that other customer classes are protected from stranded cost. Protections include a 14-year contract commitment to pay for their requested power even if they use less than requested. This is consistent with the concerns and recommendations expressed in the JLOC report last year and in line with proposals in other jurisdictions nationwide. The commission's procedural schedule is shown on slide 13. Separately, on March 3, Dominion Energy Virginia filed with the State Corporation Commission for a certificate of public convenience and necessity to construct and operate the Chesterfield Energy Reliability Center, a gas-fired electric generating facility as part of our all-of-the-above approach to energy supply. The roughly 1 gigawatt project, if approved, is expected to cost approximately $1.5 billion to be placed into service in 2029. The capital for this project was included in our most recent capital update. Turning to South Carolina, where policymakers in the House and Senate continue to evaluate potential energy legislation that addresses future generation needs of the state, permitting reform and regulated investment recovery. We're appreciative of the significant time spent to date by the legislature on this important topic. We see these efforts as supportive of our stated aim to contribute to the success of South Carolina's robust and growing economy. Overall, we continue to achieve constructive outcomes in all of our regulated service areas. Next, on Millstone, the facility continues to perform well and provide over 90% of Connecticut's carbon-free electricity and 55% of its output is under a fixed-price contract through late 2029. The remaining output continues to be significantly de-risked by our hedging program. As many of you are aware, there's been recent legislative activity in New England, Rhode Island specifically, aimed at authorizing future additional procurements of nuclear power. We've continued to engage with multiple parties there to find the best value for Millstone. In addition to state sponsor procurement, we continue to evaluate the prospect of supporting incremental data center activity as well. We feel strongly that any data center options need to be pursued in a collaborative fashion with stakeholders in Connecticut. We'll provide updates as things develop. Before I conclude my remarks, I'd like to take a moment to recognize Diane Leopold. As she announced late last year, Diane is retiring on June 1. Today, will be her last earnings call. Diane is one of the brightest, most dedicated and most capable people in our company and in our industry. Over her 36 years in the utility business, she's demonstrated best-in-class performance in virtually all areas of operations, business development, financial planning and corporate strategy as well as the construction of several multibillion-dollar energy infrastructure projects. Fortunately, Diane has trained a deep and talented bench to follow in her footsteps. It's been my honor and privilege to work with her for the last 20 years. And I know I speak for Steve and David and the entire Dominion Energy team in thanking her and wishing her well in retirement. With that, let me summarize our remarks on slide 15, by reiterating where Steven began the call with a focus on our three priorities: consistently achieving our financial commitments, continued on-time achievement of major construction milestones for the Coastal Virginia Offshore Wind project and achieving constructive regulatory outcomes that demonstrate our ability to work cooperatively with regulators and stakeholders to deliver results that benefit both customers and shareholders. We're 100% focused on execution. We remain committed to delivering reliable and affordable power for our customers. And with, that we're ready to take your questions.
Operator: At this time, we will open the floor for questions. [Operator Instructions] We'll take our first question from Nick Campanella with Barclays. Please go ahead. Your line is open.
Q – Nick Campanella: Hey, good morning. Thanks for taking my question. I appreciate all the disclosure…
Bob Blue: Good morning, Nick.
Q – Nick Campanella: So I appreciate all the disclosure you've kind of given on the CVOW project especially as it kind of relates to tariffs. As it relates to the turbines and your suppliers, can you -- is there anything that you can kind of shed light on in terms of your conversation with them that this tariff backdrop, is not going to impact their ability to kind of deliver for you, whether it's in your own conversations or just the delivery dates? I know that you kind of highlighted that Siemens is making a lot of progress, but maybe you can kind of just expand on your overall confidence level there. Thanks.
Bob Blue: Yes, I'll offer a couple of thoughts. And if Diane, wants to add in she should. She was over there just recently and she promised, she would actually answer all the questions today, on our last earnings call. But our conversations with our suppliers are that they're all performing extremely well. And the ones who are most recently started -- the one who has most recently started is Siemens Gamesa, and they are hitting their marks. They started on time. They're producing at the pace that we expected. And so, we feel very confident about our ability to get the materials, the components that we need and we've disclosed what the tariff impacts would be based on current tariff policy. So, really --no change to anything in terms of delivery schedules or ability.
Diane Leopold: Yes. The only thing that I would add, all of the raw materials are already purchased everything is in fabrication right now. And as Bob talked about the Siemens Gamesa, which is the most recent equipment that's entering into fabrication, is actually a little bit ahead of schedule. The team including myself, were in all of those facilities, the nacelles, the blades all of them two weeks ago and everything is heading either on track or a little bit ahead of schedule, and deliveries are going to proceed in the coming weeks.
Q – Nick Campanella: Okay. Great. That's helpful. And just in terms of the monopoles, my understanding is that the season starts today. So just any update on whether you would be kind of kicking that off immediately? And what type of run rate you would expect, through the next few months here for monopile installations?
Bob Blue: Yes. Today is the beginning of monopile installation season and we're starting today. Just to offer a little context, if you think about the last four months, we've installed 60 transition pieces an offshore substation and a jack-up that supports deepwater export cable. So restarting monopile installation today, is simply a continuation of the steady offshore progress, we've been making since the project began. And in terms of run rate, I think we've talked before about the fact that we hit a pace once we sort of got the initial work done. Last monopile season, we hit a pace of about 25 a month. That's a pace we ought to be able to continue. It's -- everything is weather-dependent obviously, but that pace is quite achievable.
Q – Nick Campanella: Okay. Great. And Diane, congrats on your retirement. Thanks so much.
Diane Leopold: Thanks. Appreciate that.
Operator: We'll take our next question from James Kennedy with Guggenheim Partners. Please go ahead. Your line is open.
Q – James Kennedy: Hi, guys. Good morning.
Bob Blue: Hi, James.
Q – James Kennedy: Just kind of continuing with the CVOW. I just want to ask more specifically, maybe on the permitting backdrop. I guess, have you had any conversations or interactions at the state or federal level, that give you a little bit more incremental comfort following the Empire Wind order? Just any more color on the permitting side. Thanks.
Bob Blue: Yes. I mean, James, our interactions with the agencies have continued the same way they have been for months. With a project of this -- we're fully permitted, as you know. But with a project of this size, we check in regularly with agencies. We've continued those conversations with them. And for the reasons that we outlined in our prepared remarks, we feel very comfortable that this project is going to continue moving forward.
James Kennedy: Okay. If there were a stop work order, can you give us like a general rule of thumb on like a daily standby or demobilization cost?
Bob Blue: Yes. I think that's a very important question. I appreciate you asking. We'd have to evaluate the specific facts and circumstances at the time. And I can't speak to those because I don't know what they are. But if it happens, we would be very transparent in addressing them. But we don't think it's going to be a pause for all the reasons I gave in the prepared remarks. It's the fastest way to get 2.6 gigawatts on the grid to serve tech companies, defense and security installations, important American industries like shipbuilding. It's employing 2000 people, stopping it would cause energy inflation, specifically authorized by Virginia law. It has bipartisan support in Virginia, particularly the Hampton Roads congressional delegation. So it really doesn't make sense to talk about numbers for a pause or delay. That said, these are prudently made investments. Utilities are entitled to recover prudently incurred costs. And that's certainly true here subject to the cost sharing the SCC order obviously.
James Kennedy: Okay. Perfect. And then just on the tariff scheme itself, the plan has some solar and storage spend as well. I guess just any kind of color as you're thinking about the tariff impacts there and spend profile any changes? Thanks.
Bob Blue: Yes. I mean as we think about tariffs across our business, the impacts we're seeing are manageable. The – we've worked on our supply chain for some time. We have most of our suppliers are – the vast majority of the materials that we procure are directly from US suppliers. That is certainly true with our solar procurement. We've had for some time an effort to diversify our supply chain and drive supply chain resilience. A chunk of that would have come out of COVID as we started thinking about that. So we think about increasing inventory and ordering thresholds to address longer lead times to ensure that we have multiple sources of supply where it's appropriate. We have been placing some orders ahead of tariff-effective dates to mitigate cost increases where it's possible. So those actions have enabled us to avoid some of the impacts and obviously our first objective is to avoid impact and keep costs for customers low. So we find tariff costs generally across the business to be manageable.
James Kennedy: Excellent Thanks, guys. And congrats to Diane as well.
Operator: And we'll take our next question from Steve Fleishman with Wolfe Research. Please go ahead. Your line is open.
Steve Fleishman: Yes, sure. Thanks, and I'll echo congrats to Diane. Job really well done. And Tom, sorry no more sneaking junk food during. So just on the – I guess first on the tariffs, just we know in case they change, are you – is the contracts basically shifting most of the tariff basically to you. So if they go higher they go lower we can kind of try to gauge the impact. Is that kind of how generally the contracts work?
Bob Blue: Yes that's a fair characterization Steve.
Steve Fleishman: Okay. And then maybe just also – I know it's kind of governor election year. Has any electric topics kind of including CVOW kind of been in the political spectrum at all from either side as part of that?
Bob Blue: No. No there has not been in the gubernatorial race thus far a discussion of CVOW or wind generally. I will say that the lieutenant governor who is the Republican nominee was at our events I don't know 1.5 years, 2 years ago when the first monopile arrived in Tidewater at the port. The Democratic nominee former Congresswoman Abigail Spanberger has been supportive of offshore wind as well. But it hasn't been a topic in the conversation.
Steve Fleishman: Okay. And then I noticed on Chesterfield the approval of the gas plant that's $1.5 billion for a gigawatt plant, which is starting to look quite cheap right now. I just want to make sure that's a good number.
Bob Blue: Yes that's a good number.
Steve Fleishman: Okay. All right. That’s it from me. Thank you.
Bob Blue: Thanks, Steve.
David McFarland: Thanks, Steve.
Operator: We'll take our next question from David Arcaro with Morgan Stanley. Please go ahead. Your line is open.
David Arcaro: Hi. Thanks, Good morning.
Bob Blue: Good morning.
Steven Ridge: Hi, David.
David Arcaro: Wondering if you could just give maybe a little bit more color on what you're seeing in terms of data center demand. You mentioned that it has kind of continued from last quarter. But just what is the interest level from hyperscalers any sense of just the scale and how far out I guess are these customers planning and looking to locate in your service territory?
Bob Blue: Yes. The demand remains very high David. The -- I would say that really no change from what we talked about on the last call. We've got a real focus in our service territory on sort of traditional cloud and inference demand from data centers and there's no letup in their interest. And I guess the way I would characterize the timing is as has been the case really since we started working with data center customers over a decade ago giving us the most experience with those customers of anybody in the industry they want to go fast. They always want to go fast. That's their business. It's always been their business. We've been effective at serving them. Thus far I don't see any reason why that's going to change in the future.
David Arcaro: Yes. Got it. And these are and they're I guess planning out into the well into the 2030s at this point too just in terms of the megawatts that they're planning and the expansions over time.
Bob Blue: Yes, absolutely. I mean if you look at just what they'd be ramping into from what they've already committed to it takes you to that time frame.
David Arcaro: Yes, absolutely. And then separately just was curious is there any progress or any further clarity around the Millstone and the potential contracting opportunities there?
Bob Blue: Yes. No real news on Millstone. As we mentioned in the prepared remarks Rhode Island there's been legislative activity in Rhode Island. So there's interest but we don't have an update on timing of when we might take some action with respect to Millstone. As you know the current contract for 55% of the output goes through August of 2029. So we'll continue to work through that but no news to report today.
David Arcaro: Okay. Great. Thanks so much.
Operator: We'll take our next question from Carly Davenport with Goldman Sachs. Please go ahead. Your line is open.
Carly Davenport: Good morning. Thanks for taking the questions. Maybe just a quick one on the biennial filing. You referenced before the special REIT structure proposed for high-energy users. Can you just talk a little bit about that structure and just sort of based on your conversations with data center customers overtime on the terms of an agreement if you feel like that, sort of, reflects customer appetite in terms of the term length and some of the other specifics?
Bob Blue: Yes. So you're talking about the 14-year contract term.
Carly Davenport: Yes, exactly.
Bob Blue: Yes. So just broadly what the filing does is it creates a new rate class for customers with either measured or contracted demand of 25 megawatts or greater and either measured or expected load factor of at least 75%. And that's about 100 -- and this is on a contiguous site. That's about 139 customers about 131 data centers within that. And the sort of focus of that class is on minimum demand charges. So the higher of either contracted or actual usage the minimum demand charge will be 80% for transmission distribution 60% for generation. And then for new customers that would be the 14-year contract period with -- it's a four-year ramp schedule into that. This is just to provide transparency and clarity around those customers ensuring that addressing the thoughts around ensuring that they're paying their fair share and to reduce the risk of stranded assets. We've already had provisions in place for a lot of that but this enhances them. We've talked with the data center customers. We talked with them in preparing this proposed new tariff. I'm sure there will be further conversations during the case. But I think I can say confidently they understand what we're looking to accomplish here and the conversations have been very constructive.
Carly Davenport: Great. Appreciate that color. And then maybe just a quick follow-up on the earlier question just on your conversations with data center customers. Are you seeing any change in tone or concern just around the broader economic uncertainty that we've seen and any pause perhaps in some of the new projects that you're expecting to move forward?
Bob Blue: The short answer to that question is no. We're seeing continued appetite for additional data center capacity in our service territory.
Carly Davenport: Great. Thank you for the time.
Operator: We'll take our next question from Anthony Crowdell with Mizuho. Please go ahead. Your line is open.
Anthony Crowdell: Hey, good morning team. Just two quick questions. One, I think slide 20 residential sales look soft this first quarter. I don't know if you could provide some clarity around that? And then I have a follow-up.
Steven Ridge: Hey Anthony, it's Steve. Yeah. Overall, our LTM Q1 sales are actually -- have been very good for us. It's trending slightly higher than our annual guidance, largely driven by really strong sales across the commercial segment, which includes data centers but also other commercial customers. We don't think that the slight weakness in residential is going to continue for the rest of the year. We'll watch that pretty carefully. But overall I think we're actually really happy with the direction sales are going and we'll provide additional information on that as we get through more quarters. But overall I think the sales picture for our service territories continues to look really strong.
Anthony Crowdell: Great. And if I could follow up on Carly's question on the biennial review, particularly with the requested new tariff for the large load customers. You guys have clearly gone through multiple biennial reviews. Is this making approval of this may be more complicated by introducing a new tariff, or from all your meetings prior to filing and talking to the parties that maybe even helping it out getting the tariff approved?
Bob Blue: Yeah. I think it would be hard to say if it's either helping it out or making it more complicated. The focus on rate classes and cross-subsidies among rate classes is something that has happened since the beginning of rate cases. So not a surprise. I don't think that it would be in this case. So I don't -- I wouldn't say that it really affects the nature of the ability to resolve this case one way or the other.
Anthony Crowdell: Great. Thanks for taking my question.
Operator: We'll take our next question from Durgesh Chopra with Evercore ISI. Please go ahead. Your line is open.
Durgesh Chopra: Hey, good morning team. Thank you for giving me time. And my prayers also with -- to Ryan's family. Very sad to hear about that incident. Just quickly Steve, 2025 first quarter EPS came in materially above our expectations. Just -- you mentioned some commentary around enough conservatism in the guidance. Just kind of thinking through how the first quarter earnings tracked versus your own expectations for the rest of the year.
Steven Ridge: Yes, that's a really good question. I'd say very modestly above where we were expecting. Certainly, we didn't have $0.03 of weather baked in. We also didn't have $0.02 of better-than-expected sales baked in which gets back a little bit to Anthony's question about overall trending for sales growth. But I'd point folks to Schedule 4 where we give a quarter-over-quarter growth reconciliation. Let me spend just a second walking through sort of the key drivers. We were at $0.55 in Q1 2024. Obviously, that was before we had completed the entire business review, but a lot of it was clean. Since then, relative to that quarter, we had about $0.08 of weather help. So I mentioned $0.03 better than normal. We also significantly underperformed weather during the first quarter of 2024. So that's on the schedule. I mentioned sales, we've done about $0.04 better on sales. We had about $0.05 of help this quarter from rate cases that occurred later in the year of 2024, so it wouldn't have been captured in the first quarter. Net-net-net, we had about $0.08 of regulatory rider investment growth. And the reason I say net-net is because, it will show up at $0.16, but we sold half of that growth under the noncontrolling interest on CVOW to Stonepeak. So net is $0.08 help there. We had about $0.08 of interest expense help. That's largely the impact of debt repayment, the full sort of force of the debt repayment from the majority of the business review asset sales. There's about $0.06 of tax help quarter-over-quarter. So $0.02 of that has to do with the production tax credit for our nuclear sales that's just shaping. $0.02 of it had to do with RNG 45Z which we didn't have last year. $0.02 of that had to do with a small South Carolina tax matter. There was a resolution in a court case that we ultimately hadn't budgeted. So that was a little bit of an unanticipated help as well. And then there's sort of -- you net all that and there's about negative $0.01 of miscellaneous items in there. So I'd say, again, weather sales, a little better than we expected. We've gotten some timing on tax and O&M that I think will normalize through the rest of the year. So we're sticking right now with our original guidance range targeting that midpoint of $3.40. And if we get to the point in the future where we feel like we should revise that, we'll go ahead and do that. But for now, early in the year off to a good start, we're very focused on hitting those numbers. And to the extent we have an opportunity to derisk future years as a result of strong 2025 performance, we would think about doing that as well. So we'll have more information as we work through the year, but feeling really good about the plan.
Durgesh Chopra: That's very thorough. It sounds like modestly ahead of your expectations. Okay. Diane, we'll miss you on the field trips and good luck to you. Thanks.
Operator: And we'll take our next question from Jeremy Tonet with JPMorgan. Please go ahead. Your line is open.
Jeremy Tonet: Hi, good morning. And Diane I echo the comments before me, I wish you well in retirement here. Maybe just starting off, if you could provide any updates on the outlook for PJM finalizing network cost upgrades? And just wondering, if there's any thoughts, whether tariffs or general inflation might drive upward cost pressures here.
Bob Blue: Yeah. On the PJM network upgrades that specific you're asking? …
Jeremy Tonet: Yeah.
Bob Blue: I wouldn't expect to see that. And we don't have additional information beyond what we provided on the last call. As we said then we had better information than we did before but not perfect. And that continues to be true now. We'll get the final number in July and we certainly don't expect it to be either up or down of the magnitude that the shift was the last time. But we'll know more in July.
Jeremy Tonet: Got it. Thank you for that. And transferability has been a big focus in the market whether it's repealed and has impact on plans, is there any thoughts that you could share there?
Steven Ridge: Yeah. Jeremy, at the risk of being too thorough in my response, let me give a little color there. So our plan has on average from 2025 through 2029 has an average about $175 million of transfer tax credits each year. But what really, tips us into transferability are the PTCs generated by our share of the offshore wind project. I guess the silver lining with that is that to the extent there were a change in transferability that makes tax equity a reasonably efficient way of replacing sort of the time value of those tax credits. So we feel pretty good about where we're positioned on that. I feel like if there were a change we'd have a pretty effective mitigants, but something we're watching pretty carefully too.
Jeremy Tonet: Got it. Thank you very much and one last one, if I could just with regards to thinking about the ATM with regards to de-risking 2026 equity needs possibly earlier in 2025?
Steven Ridge: Yeah. We've been aggressive with our financing plan in '25 to take capital raising off the table in a pretty significant way. You can see that from the financing plan. That was the philosophy behind the ATM is getting in front of it at a pretty attractive price. Without giving sort of specific guidance it's absolutely something we would continue to think about is opportunistically finding ways to derisk future financing. That could include getting into the market for ATM that would be settled at the end of 2026 for instance. Sooner rather than later, it's an option available to us. It's nice. And so yes your point is well taken. We'll take those steps opportunistically as the market warrants.
Jeremy Tonet: Got it. Thank you for that. I’ll leave it there.
Steven Ridge: Thanks.
Operator: And this concludes our question-and-answer session. So I'll turn the call back to Bob Blue for closing remarks.
Bob Blue: Thanks everybody for taking the time to join the call today. And enjoy the rest of your day.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.